Operator: [Call starts abruptly] statements about our future performance and results of operations that involve risks and uncertainties described in the Risk Factors section of our most recent Annual Report on Form 10-K as supplemented by our Quarterly Reports on Form 10-K. Today's webcast will also contain a discussion of certain non-GAAP financial measures within the meaning of Item 10 on Regulation S-K. A reconciliation of these non-GAAP measures with their most directly comparable financial measures calculated and presented in accordance with GAAP can be found in this morning's news announcement and on the company's website. I would also remind listeners that following is completion; a replay of today's call can be accessed for five days on the company's website www.bbgi.com. You can also find a copy of today's press release on the Investors or Press Room sections of the site. At this time, I would like to turn the conference over to your host, Beasley Broadcast Group's Chief Executive Officer, Caroline Beasley. Please go ahead.
Caroline Beasley: Thank you, Sandy, and good morning everyone. Thank you for joining us to review our solid 2018 fourth quarter operating results. In a moment I'll review the quarterly highlights after which our CFO Marie Tedesco will provide more detail of the fourth quarter results. I'd ask you to please refer to today's earnings release for details on the stations included an actual result for 2018 and 2017. So, we ended 2018 strongly as we increased actual fourth-quarter revenue by 29.1%. The revenue growth was broad-based with increases at 10 of our 13 clusters and we also benefited from our September 18 acquisition of XTU, the December 17 Boston station swap and approximately $3.9 million of fourth-quarter growth political revenue. The revenue increase for the quarter on a pro forma basis was an equally impressive 9.9% and excluding political revenue rose 5.1% which demonstrate the strength of core advertising in our markets during the quarter. Our strongest revenue performing clusters for the quarter were Philadelphia, Boston, Las Vegas, and Tampa. Actual reported fourth-quarter SOI rose 37.2% to $20.6 million as we increased our margins to 27.3% from 25.7% and the year-ago quarter. We achieved the strong SOI growth despite the increase in quarterly station operating expenses as a result of the XTU acquisition and operations of BG. I'm delighted to report that the integration of XTU has exceeded our internal projections and expectations as the station posted. Impressive fourth-quarter growth with station revenue's growing 13.8% and SOI increasing north of 30%. The return of this heritage country station is a great complement to our existing Philly cluster and has strengthened our competitive revenue position in the market. As our Philly cluster group, fourth quarter revenue, 14.6% on a pro forma basis. The addition of XTU has quickly moved us closer to our goal of 30% market revenue share with Philly cluster garnering 27% in the fourth quarter and 28% on a pro forma basis for the four year according to the Miller Kaplan. Finally, with respect to our most important financial metric, our free cash flow for the quarter increased 33.9% over the same period in '17 to $8.6 million. In addition, our initiatives to significantly broaden and diversify our reach scale revenue and free cash flow through accretive transactions and select investments are delivering the anticipated results as our free cash flow rose from $14.9 million in 2015 which is the last full year prior to completing the greater media transaction to $25.5 million and the 2018 full year. So that's an increase of a little over $10 million in the last three years. With about 27.5 million diluted shares outstanding and our current share price below $5, our free cash flow yield is north of 20%. Now, with that, I'm going to turn it over to Marie and she's going to give you a deeper dive into the quarter.
Marie Tedesco: Thanks, Caroline. Let's start with a review of the fourth quarter and full-year operating results and then I will review some balance sheet items. Fourth quarter net revenue increased 29.1% or $17 million to $75.6 million including year-over-year net revenue increases in our Tampa, Philadelphia, Detroit, Boston, Fort Myers, Las Vegas, [indiscernible], Charlotte, Wilmington and New Jersey clusters. Political revenue accounted for around 5.6% of that increase, showing that our platform building and margin initiatives combined with the strength of core categories all of our fourth quarter growth. Fourth quarter pro forma revenue increased 9.9% and pro forma revenue excluding political increased 5.1%. Station operating expenses for the quarter rose 26.3% to $54.9 million largely related to our expanded platform and strategic initiatives including the Boston asset swap and the addition of WXT FM in Philadelphia. As a result, we delivered a 37.2% increase in station operating income to $20.6 million from peer to $15 million in the year-ago period and an 18% SOI increase on a pro forma basis. Looking at our revenue categories for fourth quarter on an actual basis, consumer services remained our largest revenue category, representing about 24% of our revenue and we generated a 42% year-over-year revenue increase in these categories during the quarter. Our consumer services category includes advertisers such as medical, dental, construction, insurance, real estate, legal and education. Our second largest category in fourth quarter was retail, which was up 30%. Entertainment was our third largest category for the quarter and we generated a 19% year-over-year revenue increase while auto, our fourth largest revenue category, was up in the low 20% range. On the same station basis, consumer services increased 15%, retail was up 8%, entertainment grew 10% and auto was flat. Corporate G$A expenses increased $765,000 during the fourth quarter to $4.5 million reflecting our continuing investment in digital contents and corporate staff, including the addition of chief digital content officer and the VP of Esport sales, both of whom previously prove themselves in consulting roles and have now joined us full-time. These investments support our growing digital initiative and our ongoing transformation from a pure-play radio company to a diversified audio focused media and digital entity. Non-cash stock-based compensation decreased $64,000 for the quarter to $167,000 and we paid approximately $656,000 in cash taxes for the quarter and $929,000 year to date. Our effective tax rates increased in the quarter, primarily due to certain expenses that are not deductible for tax purposes and an increase in the valuation allowance, mostly related to unused operating losses and an increase in the fair value of contingent considerations. As mentioned in fourth quarter, our cash taxes were $656,000 while our income statements book taxes were $7.8 million compared to the year-ago period where we had a tax benefit on the income statement of $54.5 million. Reported fourth quarter 2018 operating income was approximately $13.9 million compared to $23.3 million in the fourth quarter of '17. The year-over-year decline reflects several onetime benefits realized in the 2017 fourth quarter, including an $11.8 million gain on exchange from the Boston station swaps and a $2.4 million gain from the change in the fair value of contingent consideration. Excluding these unusual gains, Beasley's is fourth quarter 2018 operating income increased approximately 53% year-over-year or by approximately $4.9 million. Net income in fourth quarter '18 was $2.1 million compared to $69.7 million in 2017 with a decrease coming from a $4 million loss on modification of theft [ph] in 2017 and the tax benefits due to the change in the federal tax rates in the year-ago quarter. Total fourth quarter interest expense increased approximately $400,000 year-over-year to $4.5 million reflecting the $35 million of additional borrowing for the WXTU acquisition. We ended the quarter with cash on hand of $13.4 million and reflecting the late third quarter '18 completion of the XTU transaction, total outstanding debt at December 31, 2018, was $252 million compared to $253 million in the prior quarter. Our LTM consolidated operating cash flow as defined in the credit agreement was $55 million for salting and the leverage ratio of 4.6 times as of 12-31-18 compared to 4.8 times as of nine 9-30-2018. Our credit agreement allows the company to receive the benefit of up to $20 million of our total cash on hand in calculating net leverage, and reflecting our balance sheets cash of $13.4 million net leverage at December 31, 2018, was 4.34 times from pair to a maximum leverage covenant of 6.0. Times and that compares with 4.62 times on the same basis at September 30, 2018 We continue to prioritize capital allocation towards leverage reduction while also paying quarterly cash dividends and evaluating other strategic initiatives and creative acquisitions that can enhance shareholder value. The company spends $863,000 in CapEx for the quarter compared to $1.2 million in the year-ago quarter and $4.2 million for the full year of 2018 from parents to $4.2 million spent in the full year of 2017. As Caroline noted, for the 2018 fourth quarter, our free cash flow increased 33.9% to $8.6 million and free cash flow for the full year increased 12.8% to $25.5 million. These metrics confirm the progress we are making as a result of our focus on growing free cash flow. Before I turn the call back to Caroline, let me spend a couple of minutes providing some guidance on several key financial metrics for 2019 that will help those modeling our performance. All of this commentary is subject to the risks and uncertainties associated with forward-looking statements as discussed in our filings with the SEC and reflect all completed and announced transactions and the recent executive appointments. Looking first at the income statement, we expect full-year 2019 corporate overhead to be approximately $18 million with the increase from 2018 largely related to the recent executive appointments that I mentioned earlier. Our free cash flow calculations including in this figure is approximately $2 million of non-cash stock-based compensation. We forecast 2019 total interest expense of $18 million to $19 million including the amortization of loan fees and this estimate assumes one rate increase during the year. Of the estimated 2019 interest expense between $16 million and $17 million is cash interest expense. Non-cash depreciation and amortization expense will be between $7 million and $8 million in 2019 and with respect to taxes, we will be a full taxpayer in 2019. Finally, we expect 2019 CapEx to be approximately $6 million. As has been our practice, we will continue to allocate our free cash flow to pay down debts, return value to shareholders through quarterly cash dividends, to complete select strategic accretive transactions and to reinvest in our stations for research, promotion, sales and other initiatives that leverage our stations brand content and strong market positions. The fourth quarter results reflect the value of this approach in terms of growing our operating results and strengthening our position in our market. And with that, I will turn it back Caroline.
Caroline Beasley: Okay. Thank you, Marie. In addition to our focus on growing our core local audio operations, we remain committed to continuing our strategy of diversifying and expanding our platform. In that regard, we continue to make progress in diversifying our revenue with 15.6% of total '18 revenue coming from sources other than advertising thoughts on terrestrial radio, our local stations and content creation capabilities have established grown brands in their markets and in many cases are attractive to consumers and markets beyond where our stations are based. So we have been an intent to further participate in the ever-expanding number of distribution channels for our unique audio content, whether that be streaming smart speakers, cars, mobile devices, digital platforms like Amazon's twitch for some of our sports content podcast or live events. Beasley has a very long record of successfully driving strong growth in brand and ratings and we've consistently adapted to changing consumer preferences in terms of when and how they access our contents. So consistent with this focus throughout '18, we continue to execute on our integration strategy focused on premium local programming to support our goals of rating the market leadership at our park station while remaining opportunistic and further building our scale and revenue diversification to drive growth. Our strong free cash flow has enabled us to complete strategic investments in our broadcast digital technology and other platforms, reduce leverage and pay dividends. During the year, we completed the strategically complimentary and accretive acquisition of XTU which significantly strengthen our competitive position and revenue share in Philly. We also completed several smaller acquisitions including they Tampa-based event company and a nationally syndicated Esport show and podcasts, and these were funded with cash on hand. We also forced the relationship with SpokenLayer the number one voice provider to Amazon and Google. SpokenLayer handles all syndication and distribution to major audio platforms including Amazon Alexa, Google Home, Apple Podcasts and others. Also, during the year, we successfully launched phase two of our mobile apps and our data-attributed initiative, Beasley analytics and all of our markets as well as bPod Studios, which distributes compelling on-demand audio and original podcast content. These initiatives reflect our commitment to deliver great content to our listeners anywhere, anytime on any device while further demonstrating to advertisers the incredible value of radio. So we had a really busy year back in 2018 so looking into 2019, first, in January, we announced the multi-year rights extension with the Superbowl champions, the New England Patriots on [indiscernible]. And I will say that this station was just named the number one sports station in the United States along with Mike Thomas being named the number one sports PD in the United States. So we're very thrilled about this ongoing partnership with the Patriots and Sports Hub. As far as pacing, our actual Q1 revenue is pacing up low single-digits as January rose, low single-digits and Feb and March are pacing up low single as well. We're pacing flat to slightly down on a same station basis for the quarter and throughout the year, we will remain hyper focused on driving ratings and revenue share in our existing markets toward or over our goal of 30% of total market revenue. We also remain committed to reducing our leverage ratios, both regrowth and cash flow and voluntary prepayments. We've already reduced our leverage from the time of the XTU acquisition and with our strong free cash flow generation, we expect to make further progress on this front throughout '19. We're managing our capital structure and leverage and we continue to return capital to shareholders. The Capital Market's valuation of BBGI shares has been under pressure since mid '18 when certain members of their board's family who own greater media prior to our acquisition sought approximately $3.1 million Beasley shares. Neither the company nor any Beasley insiders sold any shares in that offering. In fact, if you were to access the filings for the time we've been a public company, you see that the Beasley family insiders have been net purchasers of our stock. We believe our operating results reported it today validate the prudency of our approach to managing our platform for free cash flow growth and that with our dividend yield of approximately 5% our shares are highly attractive at these levels. We will be participating in upcoming investor meetings being scheduled over the next several months and we look forward to meeting current and new potential investors. Finally, with a strong balance sheet, we believe we have a solid foundation to continue pursuing a range of near and long-term growth opportunities that create new value for our listeners, advertisers and shareholders. Our platform market position, ratings and content are strong and as the number one reach medium, we remain confident in the radio industry's future and believe that Beasley's ongoing initiatives to diversify and drive revenue, productivity and efficiency across our platforms combined with prudent management of our capital structure is a proven formula for sustain long-term financial growth and enhanced shareholder returns. So with that, that concludes Marie and my comments and we did receive some questions today that Marie is going to go over.
Marie Tedesco: That's right, Caroline, we did receive some questions that had not been addressed on our call this morning. So I will now go ahead and review those. The first question is on how is auto advertising doing? Auto for fourth quarter was up 27% on an actual basis. On the same station -- and it was flat on the same. Same station in fourth quarter would exclude the Boston swap and WXTU as well as the New Berlin divestiture. And for the full year auto was up 5% on an actual basis and auto was down miss single digits on the same station for the full year. Looking into 2019 pacing's for first quarter '19 as of today is flat on actual and down mid-single-digit on the same station and in 2019 same station would exclude WXTU. The next question is, "Can you parse out the recurring operating expenses from investments spend in fourth quarter?" So our investments band in fourth quarter was around $0.5 million. And with a continuing digital and Esports initiatives, we project that our investments ban for the full year of 2019 will be somewhere around $2 million to $2.5 million. The next question is, "In terms of capital allocation, what are your main priorities headed into 2019?"
Caroline Beasley: So, thanks, Marie. I think we've addressed this like three times on the call today, but as we said, we're focused on reducing our debt. We're focused on returning capital to shareholders in the form of dividends and also, we're focused on looking at strategic transactions and that would be towards our goal, diversifying our revenue within the company.
Marie Tedesco: Great. Another question is where do you expect to spend leverage wise at the end of the year?
Caroline Beasley: So we've been really vocal in terms of our target leverage and that's around four times. So that will be our target by the end of the year.
Marie Tedesco: Right. And we will do one more question. Any customer operating metrics that can be shared at this point on Beasley analytics and Depots?
Caroline Beasley: Sure. As far as Beasley analytics, we're seeing an increase overall in website traffic for our advertisers of north of 10%. But what we're also able to get from these analytics is being able to provide a better marketing strategy for our advertisers. We're able to address accretive by using analytics and we're able to address which day parts performed better in terms of commercials and whatnot. So, we're very excited about this product that we're using. And then as far as bPod, we just launched that in December of last year. We have about 50 podcasts on that. We have about 3 million downloads and that's made up of the internally-created podcast on demand to share this content and then also external partners.
Marie Tedesco: Great, okay. And that's it for the questions of the items that were not covered in the call this morning.
End of Q&A: Well, thank you very much for your time today. And should you have any questions, please feel free to reach out to Marie or myself.
Operator: Ladies and gentlemen, this concludes today's call. Thank you for your participation. You may now disconnect.